Operator: Good morning, ladies and gentlemen. Welcome to Group 1 Automotive's First Quarter 2025 Financial Results Conference Call. Please be advised that this call is being recorded. I would now like to turn the call over to Mr. Pete DeLongchamps, Group 1's Senior Vice President of Manufacturer Relations and Financial Services. Please go ahead, Mr. DeLongchamps.
Pete DeLongchamps: Okay. And thank you, Jacob. And good morning, everyone, and welcome to today's call. The earnings release we issued this morning and the related slide presentation that include reconciliations related to the adjusted results that we will refer to on this call for comparison purposes have been posted to Group 1's website. Before we begin, I would like to make some brief remarks about forward-looking statements and the use of non-GAAP financial measures. Except for historical information mentioned during the conference call, statements made by management of Group 1 Automotive are forward-looking statements that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve both known and unknown risks and uncertainties, which may cause the company's actual results in future periods to differ materially from forecasted results. Those risks include, but are not limited to, risks associated with pricing, volume, inventory supply, conditions of markets, successful integration of acquisitions, and adverse developments in the global economy resulting impacts on demand for new and used vehicles and related services. Those and other risks are described in the company's filings with the Securities and Exchange Commission. In addition, certain non-GAAP financial measures as defined under SEC rules may be discussed on this call. As required by applicable SEC rules, the company provides reconciliations of any such non-GAAP financial measures to the most directly comparable GAAP measures on its website. Participating with me on today's call are Daryl Kenningham, our President and Chief Executive Officer, and Daniel McHenry, Senior Vice President and Chief Financial Officer. Okay. So now I will hand the call over to Daryl. Thank you, Pete. Good morning, everyone.
Daryl Kenningham: Thanks to our teams in the UK and the US, we were pleased with our performance in the first quarter. Let me start with our UK business. Our UK business is on a good track in the first quarter. The UK market overall was up 6.4%, while the retail or private market was up 9.5%. Group 1 delivered record UK results in the first quarter, achieving our internal profit and cost targets. We are extremely pleased with the integration of our acquisitions in the UK, which has substantially grown our market presence there. We are back to pre-acquisition levels on SG&A as a percentage of gross profit and on track to take out 10% of our headcount and save north of £30 million this year, most of it in the first half. In addition, we are aligning our business processes across our entire UK platform, including our used car pricing and acquisition processes, technician recruiting and compensation plans, customer contact centers, and finance and insurance products. Our team remains focused on managing our legacy business, and our same-store SG&A leverage trended down year over year. We delivered improvement across many key financial and operating metrics. Record new and used vehicle volumes helped offset moderating new and used vehicle GPUs on a same-store basis. Our used vehicle management has improved, with better vehicle aging and significantly lower same-store wholesale losses year over year. Technician productivity has improved, and our total gross margins have expanded. We will continue to optimize our UK business. Thanks to our strong OEM engagement and acquisition approvability, in the quarter, we added three Toyota and one Lexus dealership. At the same time, we undertook the strategic closure of eight standalone used vehicle sites and three less accretive franchise sites. This strategy mirrors the approach taken in the US over the past two years, improving our performance and, we believe, leading to higher shareholder returns. Now turning to our US business. Our US team managed the business very well in the first quarter. New and used vehicles revenue and revenues sold were up on an as-reported and same-store basis. F&I performance performed well in the quarter, up $98 on a same-store basis, as used vehicle finance, vehicle service contract, and other product penetrations improved. We continue to view aftersales as a differentiator at Group 1, and we were pleased with our performance in the quarter. Customer pay was up over 6% to go along with a nearly 30% increase in warranty revenue. We continue to believe that aftersales is the most underinvested area of our business. By the end of the year, we will be nearly finished with our workshop air conditioning project, having invested over $25 million in our technicians. We are converting some of our collision footprint into traditional service, expecting to increase capacity where needed for the higher-margin service business. Adding human capacity is a critical leverage point in driving continued performance growth. We ended the first quarter of 2025 with our US technician headcount nearly 8% higher than the year-ago period. Given our flexible scheduling, all-day Saturday focus, and improving technician productivity, we still have significant capacity in our existing dealerships to increase our aftersales business, and we look to be even more aggressive in the future. In the US in the first quarter, we did not leverage SG&A as well as we could have. We had some creep in January and February in the variable part of our business, specifically compensation and outside services. As a result, we put some focus on it and saw some improvement in March, continuing to monitor it, and we will take additional steps as needed. In the first quarter, we also kicked off a branding effort in the US where a number of our dealerships will be rebranded with the Group 1 name. This project, combined with our integrated marketing and customer data efforts, will open opportunities across our footprint. It is important to note that we continue to believe that the retail automotive business is a local business, and that is where we will put our emphasis. We have learned a great deal about this model from our UK business, where all of our dealerships are already branded with the Group 1 name. Lastly, a few thoughts on the evolving US landscape and broader global backdrop. There is a great deal of conjecture about Washington and the impact the new administration policies have on our trading partners, automotive retailers, OEMs, and consumers. That is an ever-moving target. In our view, the best way to capitalize on these changes is to ensure that Group 1 stays nimble and focused on execution. We continue to see demand across all lines of service. However, we are being cautious moving forward. Expectations are that new and used vehicle GPUs could remain elevated as inventories tighten from imposed tariffs. We have deferred some capital expenditure projects and have reevaluated some discretionary spending. We also have contingency plans in place should we see a marked change in the competitive environment. Now shifting to capital allocation. We continue to balance acquisitions and dispositions with repurchasing our shares. In the first quarter of 2025, we acquired $100 million of revenues and bought back another 2% of the company for $122.8 million. At current valuation levels, we believe buying back stock at every opportunity makes sense, especially given our liquidity position. And we will continue to optimize our portfolios in the US and the UK. Testament to that is that since the beginning of 2023, we have bought assets generating $5 billion in annual revenue and disposed of assets generating $1 billion in revenue. Properly allocating our shareholders' capital will always be our highest priority. While we regularly evaluate other business adjacencies, in this environment, we believe staying focused on the new vehicle retail franchise business is the best use of our shareholders' capital. We will continue to be acquisitive, but we are also being very measured in valuing acquisitions, engaging only in deals that we feel provide long-term value for Group 1 shareholders. And now I will turn over the call to our CFO, Daniel McHenry, for an operating and financial overview.
Daniel McHenry: Thank you, Daryl, and good morning, everyone. In the first quarter of 2025, Group 1 Automotive reported quarterly record gross profit of $892 million, adjusted net income of $134.7 million, and quarterly adjusted diluted earnings per share from continuing operations of $10.17. Starting with our US operations. Revenue growth on a reported basis and same-store basis occurred across all lines of business, with new vehicle revenues leading the way at 9.4% and 7.4%, respectively, over a comparable prior-year quarter. We experienced higher new vehicle units sold on a reported and same-store basis of 7.1% and 5.2%, respectively. This reflects the resiliency of demand, our operational execution, and the value generated from the ability to drive incremental volume through our dealership acquisitions. At the same time, volumes increased, we saw prices increase by 2.2% on a reported and same-store basis, coupled with the decline in GPUs of 7.5% and 9.6%, respectively. These dynamics of lower GPUs and higher volumes helped us hold same-store and reported gross profit to a modest decline of less than 0.9% and 4.9%, respectively, versus the prior-year comparable period. Much like used vehicles, we saw a similar pattern for used vehicles. Our units sold higher prices and lower GPUs versus the prior-year comparable period. GPUs were only down $55 and $66 on a reported and same-store basis, or 3.1% and 3.8%, respectively. We believe our ability to hold gross profit to modest declines while driving volume against higher prices versus the prior-year comparable period is a testament to our process discipline and use of technology with pricing of used vehicles. Sequentially, units sold were up 2.4%, and we were able to increase GPUs by $230 or 15.6% while prices fell 2.1%. Our first quarter F&I GPU of $2,420 is up $11 and $86 sequentially and year over year, respectively. The performance by our F&I professionals has been outstanding to maintain GPU disciplines. Shifting gears to Aftersales. Aftersales revenues increased 7.7% and 5.6% on a reported and same-store basis, respectively. These revenue increases, coupled with slight margin increases, generated growth in gross profit of 8.5% on a reported and same-store basis, respectively. Same-store customer pay and warranty revenues comprised 70.8% of the total same-store aftersales revenues for the first quarter versus 67% for the prior comparable quarter. Warranty work is up virtually across all brands. However, Toyota and Honda have the largest year-over-year increase, generated by some larger recalls ongoing in the first quarter. We expect this work to continue for some time given the nature of the repairs. In the case of Toyota, we are seeing increased work from the open Tundra engine recall. Wrapping up the US, let's turn to SG&A. US adjusted SG&A as a percentage of gross profit increased 28 basis points sequentially to 66.9%. We have refocused our efforts on operational efficiency and resource management to bring these metrics in line with historical levels. Turning to the UK. What an outstanding quarter. Acquisition activity fueled all-time quarterly growth in total revenues and gross profit, leading to a 92% and a 9.6% year-over-year increase, respectively. We were pleased with the growth in gross profit of 8.7% on a same-store basis, thanks to improvement in new vehicles, aftersales, and F&I. Same-store retail gross vehicle units sold increased nearly 6% year over year, and GPUs decreased by 10.7%. The increased volume helped limit the decline in gross profit of approximately 5% on a constant currency basis. Same-store wholesale losses per unit improved to $8 from an $842 loss compared to the prior-year quarter, respectively. Aftersales is continuing to be on a positive growth path, with a 3.5% increase in same-store revenues on a constant currency basis and almost a 6% increase in same-store gross profit on a constant currency basis over the prior-year quarter. Same-store adjusted SG&A as a percent of gross profit declined 78 basis points versus the prior-year quarter. We will continue to focus on cost control and business process efficiency as we execute our business integration activities. We incurred $11.1 million of nonrecurring restructuring costs in quarter one 2025 in relation to our ongoing UK restructuring plan. Turning to our balance sheet and liquidity. Our strong balance sheet, cash flow generation, and leverage position will continue to support a flexible capital allocation approach. As of March 31, our liquidity of $1 billion comprised of accessible cash of GBP 176 million and $819 million available to borrow on our acquisition line. Our rent-adjusted leverage ratio, as defined by our US syndicated credit facility, was 2.7 times at the end of March. Cash flow generation through the first quarter of 2025 yielded $138 million of adjusted operating cash flow and $105 million of free cash flow after backing out £33 million of CapEx. This capital was deployed in the same period through a combination of acquisitions, share repurchases, and dividends, including the acquisition of $100 million in revenues through March 31, $123 million repurchased approximately 287,000 shares at an average price of $428.33, and $6.6 million in dividends to our shareholders. Subsequent to the first quarter, we purchased 100,918 shares under a Rule 10b5-1 trading plan at an average price per common share of $385.28, for a total cost of $38.9 million. This has resulted in an approximate 3% reduction in our share count since January. We currently have $314 million remaining on our board-authorized common repurchase plan. As of March 31, approximately 60% of our $5 billion in floor plan and other debt was fixed. This would result in an annual EPS impact of about $1.21 for every 100 basis point increase in the secured overnight funding rate. For additional detail regarding our financial condition, please refer to the schedules of additional information attached to our news release, as well as our investor presentation posted on our website. I will now turn the call over to the operator to begin the question and answer session. Operator?
Operator: Thank you. We will now begin the question and answer session. To ask a question, you may press star then 1 on your telephone keypad. If you are using a speakerphone, please pick up your handset before pressing the star keys. To withdraw your question, please press star then 2. We ask that you please limit yourself to one question and one follow-up. The first question comes from Rajat Gupta with JPMorgan. Please go ahead.
Rajat Gupta: Great. Thank you for taking the question. I just had one question, firstly, on the pre-buy comment. You know, in the slide deck. Is there any way for us to estimate, you know, how much of the volume, like, late March, you know, what you might be seeing there in early April? Is driven by pre-buy versus what you feel is, like, normal business course? And then anything, you know, that you have seen since the pre-buy started, you know, maybe last week or last couple of weeks, you know, has the traffic sustained? You know? Have you started to see it slow down? Any color you can give there on how things have trended in this what our expectations are, you know, for the remainder of the year, both the new and used cars. And I had one quick follow-up on SG&A.
Daryl Kenningham: Good morning, Rajat. This is Daryl. My estimate is in the last, you know, ten days of March or so, we saw probably a 5% improvement in our traffic counts, and you know, we saw grosses firm some during that time period. Being the end of a quarter, sometimes it is harder to tell what is driven by the end of quarter activity on OEM incentives, things like that with their targets. Generally, our estimate was about a 5% lift in those last ten days or so.
Daniel McHenry: Rajat, it is Daniel here. One thing I would add to that is, you know, a big part of our portfolio, as you know, is Toyota and Lexus. You know, when you look at the day supply that we ended the quarter in for Toyota and Lexus, it was, you know, twelve and five days, respectively. We did not actually have that much inventory in those brands in particular going into that final buying period anyway. So I think what we sold in those brands in particular, we probably would have sold anyway.
Daryl Kenningham: Our margin patterns, Rajat, at least on new cars, did not differ materially between, you know, the third month of the quarter in Q1 versus Q4 of last year or Q3 of last year. So, you know, you always get a little bump in the third month of the quarter. Got a little bump in Q1. We got a little bump in Q4. But it was not anything materially different.
Rajat Gupta: Anything on April? Like, you know, how is April shaped out so far? You know, we did notice, like, from our checks, like, early April was strong, but maybe things just cooled off in recent weeks. You know, any comment on that?
Daryl Kenningham: Well, I think your read is probably pretty good. You know, the thing that I am watching is our inventories. They were a little tight at the end of March, and some of the OEMs are being a little cautious about allocations right now. And nobody is taking any drastic steps. But we ended the quarter around 20,000 units of inventory, which is the lightest it has been in over a year. We are kind of watching that. That will affect, obviously, gross patterns, and that supply can impact some of the brands. You saw that with Toyota last year quite a bit.
Operator: Thank you. The next question comes from Daniel Haigian with Morgan Stanley. Please go ahead.
Daniel Haigian: Thanks. So can you speak a little bit more to the efficiencies you have seen so far with your cluster marketing initiative? You spoke to some learnings from branding in the UK business. What proof points can we look to in localizing inventory and reconditioning?
Daryl Kenningham: It is very early still, and we are still early in the process of renaming the stores, which is kind of the first step in it. We have done one reconditioning pilot up in Boston that we are still assessing and evaluating. And so it is hard for us to quantify what it has done for us so far. We expect that what we will be able to do is leverage our—we have brought a lot of our marketing and customer data management in-house concurrent with this change. And what we believe it will allow us to do is manage our business on a more proactive basis across our store base. And that would be on a local basis, not across, you know, the country or anything like that. We still believe our business is local. So that is where we expect to get leverage and be able to bring customers. We had shared some data earlier about, you know, loyalty of customers that buy a used car at a same-brand car store versus an off-brand store. Those are things we are trying to leverage with this effort.
Daniel Haigian: Got it. And then any shifts to your capital allocation strategy with the current environment? You know, does the policy uncertainty complexities bring more private dealerships to the table for M&A? How have you seen that evolve, if at all?
Daryl Kenningham: Probably seen the uncertainty drive the acquisition environment yet. Had some conversations with some folks yesterday that they feel like it has not changed yet. On capital allocation for us, we have deferred some capital projects that were, you know, discretionary. And when I say deferred, we have put them off, like, six months just to see. You know, if the environment is still uncertain or if those are ones that we could do. And so we have deferred some of those. We have not canceled anything. We have reviewed some of our discretionary spending. And things that potentially we could rein in, we did. And so we will continue to do that. We do have a contingency plan developed in writing that, you know, should something dramatic happen, and we saw that with COVID, you know, something dramatic happened, what are the steps that we would take. We do have a plan that outlines the steps that we would take from, you know, least severe to most severe. And the time frame with which we would execute those. So we are just prepared and, as we mentioned in our comments, be nimble.
Operator: Thank you. The next question comes from John Murphy with Bank of America. Please go ahead.
John Murphy: Good morning, guys. Just wanted to ask first, Daryl, as you think about the increase of 8% in your techs, year over year, you know, just curious, you know, how much capacity you think you have if we see a real slowdown at the front end on new and used sales and people hold on to their vehicles longer and we see a, you know, an uptick in service opportunities, is that something you think you can capture significantly, and is there potentially room to, you know, ramp that tech and capacity count even more?
Daryl Kenningham: Short answer is yes, John. We feel like there is more capacity. We still have hundreds of bays that we can grow into in addition to leveraging the bays that we have more efficiently. Even though we added 8% more techs year over year, we also improved our tech productivity year over year. And so we do feel that way. We are looking at some other things to try to drive more efficiency and productivity in our shops, and right now, we are just studying those. But, you know, the thing will be done with our air conditioning project this year. And just to remind everybody, in a Group 1 shop, the tech turnover is up to nine percentage points lower in a shop that has air conditioning than a shop that does not. And so in our minds, that is well worth the trade-off on the capital spend to be able to have our technicians working in air conditioning and hopefully increasing our retention rate, lowering our turnover, which will effectively increase our capacity as well.
John Murphy: And then just maybe one quick follow-up. There is a lot of attention being paid to tariffs, but there is another significant policy around CARB and NHTSA and the EPA that is pushing EVs still. But that seems like we are going to get some relief on that real soon. I am just curious. Either the current state of EVs in the business, how negative GPUs are and how much they are dragging you down the total. And if we get relief on CARB, you know, what that means for the business on an operating basis and maybe making acquisitions going forward in CARB states?
Daniel McHenry: John, I will take the first part around the EVs and inventory in the business. Obviously, our inventory for EV is really quite good at the moment. We are at, I would say, record low levels over the last two years, and some of that is what we did last quarter in terms of managing our EV inventory. I would say the drag in GPU that we had seen for EV has reduced over the last quarter. However, we are still seeing about a thousand-dollar differential between the GPU on an EV versus an ICE vehicle. Regarding the second part of the question, I will pass that over to Daryl.
Daryl Kenningham: It has not changed our view on acquisition strategy in, you know, CARB states or not. There is a place for EVs. Customers continue to vote for them. You know, they are still growing. Economics for the retailers are improving. So it is not something we are certainly afraid of. You know, we will hopefully, there will be natural demand that is out there in the future that we will see, and that is how we look at it.
Operator: Thank you. The next question comes from David Whiston from Morningstar. Please go ahead.
David Whiston: Hey, guys. Good morning. I guess on the UK first, can you talk a little bit about the over 450 people who are let go? What roles were they in?
Daniel McHenry: David, it is Daniel. I would have said initially, cost reductions that we did were around central office functions. That is where we had, I guess, between doing the acquisitions and the original legacy Group 1 stores, where we had double functions. So, you know, two CFOs, two CEOs, two heads of marketing, etcetera. That was kind of the first phase, I would have said. The second phase was centralized facilities like accounting, where we centralized that all into one office or one function. The third phase was we went out to the stores and looked at some store reductions. But, again, generally, duplicative roles. That was principally what we have undertaken so far.
David Whiston: Were there any major salesperson reductions?
Daryl Kenningham: No. We have technicians and salespeople. As a matter of fact, we are focused on adding technicians and salespeople in some of the Inchcape retail stores. They were a little understaffed.
David Whiston: Okay. And just with the market, we are almost in the UK now.
Daryl Kenningham: I am sorry, David. It is a market growing in the UK now. We do not want to pull back on the customer-facing positions at all.
David Whiston: Yeah. Then is that why your UK new vehicle inventory is down to sixteen days?
Daniel McHenry: It is Daniel here. You know, traditionally, March is the biggest selling month. March and September of the year in the UK. So effectively, that tends to be cyclical, and that is generally the case. Now it is slightly lower than we would have expected, but, you know, our sales rate was pretty strong in March.
Operator: Thank you. The next question comes from Michael Ward with Citi. Please go ahead.
Michael Ward: Thanks very much. Good morning, everyone.
Daniel McHenry: Morning, Mike.
Michael Ward: On a dollar basis, the UK penetration has gone from under 20% now, like, placing a third of your overall revenue. Can you continue to expand that? Do you see a day where they just get to fifty-fifty?
Daryl Kenningham: Mike, this is Daryl. So I can repeat the question so everybody can hear. Your voice is a little muffled. Would our UK exposure ever get to fifty-fifty from a third two-thirds today? You know, never say never, Mike. We do not have any plans to do that. We feel like, you know, certainly the UK market is more rolled up than the US market is. And at least for the foreseeable future, the acquisition opportunities we see are more US-based than UK-based. It does not mean we will not do them in the UK, but I do not expect they will be of the scale that you have seen over the last three or four years in the UK.
Michael Ward: Okay. And turning to the US, there was some weather impact early in the quarter. Were you able to make that up? Did it have an overall impact on your business? And it looks like parts and services were very strong relative to the market in the US. And I think that is despite one or two fewer business days.
Daniel McHenry: Hi, Mike. It is Daniel here. I would have said that it did have some impact in February in the Northeast and Houston in particular. The stores were closed for a number of days in that period, which makes it pretty difficult to catch up that service work. You know, generally, when you look at our shops and look at the efficiency and the capacity in our shops that we have today, we are already fairly full, so it is hard to catch that business back.
Operator: Thank you. The next question comes from Bret Jordan with Jefferies. Please go ahead.
Bret Jordan: Hey, good morning, guys.
Daniel McHenry: Hi, Bret. Good morning, Bret.
Bret Jordan: On the parts and service, 30% growth in warranty, is that tied to a major program like the Tundra engine recall? Or I guess, how long, you know, what drives that and how long can we expect that kind of a run rate?
Daryl Kenningham: Yeah. It was a lot of it. It is the number. I think Daniel might have the exact number on how much it was.
Daniel McHenry: Bret, I do not have the number to hand. But Toyota and Honda were the lion's share of that increase. And, you know, Tundra is ongoing currently. So we do not see that dropping off significantly this quarter.
Bret Jordan: Okay. And then I guess we look at parts and service going forward, and obviously, the tariff changes daily. But if, as it stands today, what do you think the price contribution to parts and service growth would be into the second half? Are you going to see mid-single digits pick up just on price without any traffic as well? Or I guess, how do you reconcile traffic versus ticket today?
Daryl Kenningham: Well, we were pleased this quarter with our traffic. When you look at our increase, it was one-third traffic count and two-thirds price, which was up from the past year, and we are focused on traffic count. You know, there has been some pricing over the last couple of years, and we are trying not to take some anymore in the aftersales business. Now, you know, if tariffs hit parts, that could potentially obviously change that. But, you know, when you look at, I think that the still the retention opportunities, they are still significant, which would lead us to believe there is traffic count opportunity. One thing that could drive dollars up is the average mileage in early 2025 is up another thousand miles from last year, which, you know, as mileage increases, that increases usually the dollars per RO. So, that could lead to higher dollars.
Operator: Thank you. The next question comes from Thomas Wendler with Stephens Inc. Please go ahead.
Thomas Wendler: Hey. Good morning, everyone. I just wanted to go back to the UK for a second here. March was registration month, and the market was up, called 6%. But Mercedes, Audi, and BMW were all down for the quarter. Does this kind of indicate that the midlines are outperforming luxury and that the luxury buyers are pulling back a bit in the UK?
Daryl Kenningham: I think the Audi piece is more product cycle driven, to be honest with you. A lot of their new products come, they launched in Q1, like the new Q5, but we have not been able to sell them. They are until they get the pipeline full. We were pleased with our Mercedes business and pleased with our BMW business, honestly, in the UK and in Q1. I cannot say that I could make a general statement about midline buyers versus luxury buyers. Daniel, do you have anything to add to that?
Daniel McHenry: I have nothing to add at this moment.
Thomas Wendler: Alright. That was the only one for me. Thank you, guys.
Daryl Kenningham: Thank you. Thanks.
Operator: Thank you. Reminder to all participants to ask a question, you may press star then 1. The follow-up question is Rajat Gupta with JPMorgan. Please go ahead.
Rajat Gupta: Great. Thanks for squeezing me back in with the follow-up question. It was pretty straightforward. I had a question on the SG&A slide. I noticed that, you know, your same-store headcount reduction number is now 8% versus 2019. Last quarter, that number was 6%. Curious, like, has there been more change or turnover that has happened at the stores? Or is this pro forma for Inchcape? I know you are not taking out sales headcount at Inchcape, but maybe, like, other staffing. So curious if you could just clarify that. That was the only question I had. Thanks.
Daniel McHenry: Rajat, I think that we continue to increase headcount to run technicians in particular, that 8% excludes includes technicians effectively. So that is SG&A within the stores. And we are really focused and concentrating on not adding additional cost whenever it is non-technician.
Daryl Kenningham: Rajat, I will just add one thing. In the US, we added over a hundred, about 150 salespeople year over year, but our salesperson productivity with our volume increases was just dead flat year over year. So we are seeing capturing the scale on those additional heads as well. But there is not a concerted effort to change that.
Rajat Gupta: Understood. Thanks for clarifying, and good luck.
Operator: The next question comes from Ron Jewsikow with Guggenheim. Please go ahead.
Ron Jewsikow: Yeah. Good morning, and thank you for taking my question. You mentioned you had some SG&A creep in the US in the quarter. Maybe I missed this, but is there a way to quantify the impact of the higher spend in January and February? And if that was normalized in March or if this is the process of getting that cost back in line kind of just started in March?
Daniel McHenry: I would have said some of it, Ron. SG&A as a percent of gross was February, I would have said, was a little weaker. January and February were a little weaker in terms of SG&A leverage, and some of that was possibly around the lack of growth. And we talked earlier about, you know, the weather, etcetera, not that I ever really like to get weather as a reason for that. But equally so, we just saw some creep in variable expense, salespeople commission, manager commission, etcetera. And I think there just needs to be some realignment of that, and we realigned some of it in March and continuing in Q2.
Ron Jewsikow: Okay. And I know we are only kind of three weeks into the potential new world with tariff changes, but I did kind of have a question just on OEM plans from here. It seems like we will start getting some modest price increases starting in May. Emphasis on modest. But during your conversations with your OEM partners, what are they signaling to you kind of with their respect with respect to their strategy going forward around volume price? And I think dealer support incentives are a pretty important topic here.
Daryl Kenningham: I think what we will see is a moderation of incentives first. And then I think on pricing, formal pricing, not just transaction pricing, we will see them be modest with their increases early. The thing that I am, I guess, most interested in is parts to see how that is affected and where that is affected. And so, but that is what they have been signaling to us.
Ron Jewsikow: Okay. That is super helpful. I appreciate you taking my questions.
Operator: Thank you very much. Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.